Operator: Good morning all sites, and welcome to the AirMedia Group Inc Fourth Quarter and Fiscal Year 2014 Earnings Conference Call. For the duration of the presentation, all lines will be placed in a listen-only mode. [Operator Instructions] Now I would like to hand the call over to Mr. Raymond Huang, Senior Director of Investor Relations of the company. I will be standing by for the Q&A session. Thank you. You may begin.
Raymond Huang: Hello, everyone. Thank you for joining AirMedia's fourth quarter 2014 earnings conference call. Today Herman Man Guo, our Chairman and CEO, will present highlights for the fourth quarter 2014; and Richard Wu, our CFO, will provide details on our financial results. Following their prepared remarks, the management team will be available to take your questions. Before the management's presentations, please allow me to read you our Safe Harbor statement. During this conference call, representatives of the company will make certain forward-looking statements. These statements are based upon management's current views and expectations with respect to future events, and are not a guarantee of future performance. Furthermore, these statements are by their nature subject to a number of risks and uncertainties that could cause actual performance and results to differ materially from those discussed in the forward-looking statements. AirMedia does not undertake any obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable law. Please refer to AirMedia's filings with the SEC, including its Form 20-F for discussions of important factors that could affect future results. Our press release and this call include a discussion of unaudited GAAP financial information as well as some unaudited non-GAAP financial measures. Our press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. The press release is available on the Investor Relations section of AirMedia's website at www.ir.airmedia.net.cn. I will now turn the call over to our Chairman and CEO, Herman Man Guo.
Herman Man Guo: Thank you, Raymond. Good morning and good evening everyone. We are excited that we made significant progress on turning around the Company. By January 13, 2015, we have divested two of our three major unprofitable product lines. TV-attached digital frames and airport digital TV screens have been negatively contributing the company's overall result for years. After the divestiture, our sales force can concentrate on promoting the remaining product lines which have higher profitability such as our mega-size LED screens and stand alone digital frames. It is helpful for the company to redeploy capital and management's focus to support business with higher return. The divestiture is expected to have an immediately positive effect on the Company's results of operation in the first quarter of 2015. As for another unprofitable product line, our gas station media network, we intend to perk up this product line by adopting new technology, such as iBeacon, which enables our LED screens to connect with car passengers. With the divestiture and the expected improvement of operation results of the gas station media network, we anticipate our current media business to become profitable and provide steady cash flow to support our business transformation. After the divestiture the reliability of our remaining profitable product line become even more important. We recently renewed our concession rights contract to continue to operate digital media in Shanghai Pudong International Airport and Hongqiao International Airport until February 2018. This is the second time we renew to the digital trends in two Shanghai airports which demonstrates our long term mutually beneficial relationship with Shanghai airport. So cooperation is expected to benefit both companies with this renewal. Some of the digital frames will be upgraded from 17 inch to 98 inch. We believe that upgrading into 98 inch digital frames will create a maximum material impact which we expect to significantly increase the attractiveness and media value of digital frames and generate better market response. As far our transformation into a leading in-flight and on-train Wi-Fi operator in China, we have obtained a leading position in Wi-Fi service on high speed trains in China, in terms of the number of high-speed trains on which we have concession rights to operate on-train Wi-Fi services. Our ambition, however, goes beyond high-speed trains. We hope that passengers on ordinary trains also have the opportunity to use our Wi-Fi services. We will strive to obtain more concession rights contracts and a leading position in Wi-Fi services on ordinary trains. We have started technical test of Wi-Fi services on ordinary trains operated by Xinjiang Railway Bureau in late January 2015. We expect to install and operate Wi-Fi services on more high-speed trains and ordinary trains in 2015, as well as to start monetizing this unique Wi-Fi gateway and platform. Year 2015 is a crucial year for AirMedia. A year of transformation and rebirth. It may take some time before we obtain more concession rights contracts on ordinary trains and install our Wi-Fi services on considerable number of trains across China. But we believe that it will be tremendous market opportunities and millions of passengers will use our Wi-Fi services on trains and airplanes. With that I'd like to pass the call to Richard Wu, our CFO to review our financial results in greater detail.
Richard Wu: Thank you, Herman. And thank you everyone for joining our fourth quarter and fiscal year 2014 financial results. As Herman mentioned, the divestiture of our two unprofitable product lines are expected to significantly enhance our profitability. Based on our current estimate we expect a decrease in total revenues in 2015 due to the divestiture of the aforementioned two unprofitable lines to be less than 10% of our total revenues in 2014. The divestiture will benefit our bottom lines. We had total loss from operations to the US$10.4 million and US$30 million from TV- attached digital frames and airport digital TV screens in fiscal year 2013 and a fiscal year 2014. Our new business initiatives are still at the stage with need for further investments. As a result of these investments, our costs and operating expenses have been increasing in the past several quarters, which contributed to the increase in our net loss. However, these investments are necessary and crucial, as Wi-Fi business stands for a huge market and the future of the Company. Now let me go through the details of our fourth quarter financial results with you. Total revenue for the fourth quarter of 2014 was the US$67.5 million representing a year-over-year decrease of 14.1% from US$78.6 million in the same period a year ago and a quarter-over-quarter increase of 7.4% from US$62.9 million in the previous quarter. The year-over-year decrease was primarily due to decreases in revenues from most product lines. The quarter-over-quarter increase was primarily due to increases in revenues from most product lines other than digital TV screens on airplanes and traditional media in airports. Let's go through each product line. Revenues from digital frames in airports for the fourth quarter of 2014 decreased by 17.8% year-over-year and increased by 10.0% quarter-over-quarter to US$37.4 million. The year-over-year decrease was primarily due to a soft advertising market. The quarter-over-quarter increase was primarily due to advertisers' year-end budget flush and a seasonally strong quarter in the fourth quarter. Revenues from digital TV screens in airports for the fourth quarter of 2014 decreased by 16.1% year-over-year and increased by 10.8% quarter-over-quarter to US$4.3 million. The year-over-year decrease was primarily due to a soft advertising market and a drop in demand from advertisers as a result of competition from AirMedia's other product lines and the fact that, with the rapid development of mobile internet, more people now pay attention to their cell phones instead of AirMedia's digital TV screens. The quarter-over-quarter increase was primarily due to advertisers' year-end budget flush and a seasonally strong quarter in the fourth quarter. Revenues from digital TV screens on airplanes for the fourth quarter of 2014 decreased by 16.2% year-over-year and 16.1% quarter-over-quarter to US$3.9 million. The year-over-year decrease of revenues from digital TV screens on airplanes was primarily due to a soft advertising market and a decrease in advertisers' demand for digital TV screens as a result of more choices of in-flight entertainment. The quarter-over-quarter decrease of revenues from digital TV screens on airplanes was primarily due to a decrease in advertisers' demand for digital TV screens as a result of more choices of in-flight entertainment. Revenues from traditional media in airports for the fourth quarter of 2014 decreased by 2.8% year-over-year and by 1% quarter-over-quarter to US$13.8 million. The year-over-year decrease was primarily due to a soft advertising market. The quarter-over-quarter decrease was primarily due to the fact that AirMedia stopped taking orders on some media resources at premier locations as a result of expected upgrade of media formats. Revenues from the gas station media for the fourth quarter of 2014 decreased by 34.5% year-over-year and increased by 9.9% quarter-over-quarter to US$2.9 million. The year-over-year decrease was primarily due to a soft advertising market. The quarter-over-quarter increase was primarily due to advertisers' strong demand for AirMedia's already-installed LED screens in gas stations, as well as advertisers' year-end budget flush and a seasonally strong quarter in the fourth quarter. Let's move on to other product lines -- to other lines in the income statement. Cost of revenues for the fourth quarter of 2014 was US$61.8 million, which reflected a year-over-year decrease of 4.8% from US$65 million and a quarter-over-quarter increase of 3.1% from US$59.9 million in the previous quarter. The year-over-year decrease was primarily due to lower agency fees for third-party advertising agencies in the fourth quarter of 2014, which were partially offset by higher concession fees. The quarter-over-quarter increase was primarily due to higher concession fees in the fourth quarter of 2014. Cost of revenues as a percentage of net revenues in the fourth quarter of 2014 was 94%, up from 84.1% in the same period one year ago and down from 96.3% in the previous quarter. Concession fees for the fourth quarter of 2014 increased by 1.8% year-over-year and by 5.4% quarter-over-quarter to US$46.5 million. The year-over-year and quarter-over-quarter increases were primarily due to newly signed or renewed concession rights contracts during the period. Concession fees as a percentage of net revenues in the fourth quarter of 2014 was 70.6%, increasing from 59.1% in the same period one year ago and decreasing from 70.9% in the previous quarter. The year-over-year increase of concession fees as a percentage of net revenues was primarily due to the fact that net revenues decreased while concession fees increased. The quarter-over-quarter decrease of concession fees as a percentage of net revenues was primarily due to the fact that net revenues increased faster than concession fees in the fourth quarter of 2014. Total operating expenses for the fourth quarter of 2014 were US$14.7 million, which increased 2.7% from US$14.3 million one year ago and increased 25.8% quarter-over-quarter from US$11.7 million in the previous quarter. Net loss attributable to AirMedia's shareholders for the fourth quarter of 2014 was US$11.2 million, compared to net income attributable to AirMedia's shareholders of US$1.5 million in the same period one year ago and net loss attributable to AirMedia's shareholders of US$5.5 million in the previous quarter. Non-GAAP adjusted EBITDA attributable to AirMedia's shareholders which is EBITDA attributable to AirMedia's shareholders excluding share-based compensation expenses, was a loss of US$4.2 million, compared to adjusted EBITDA attributable to AirMedia's shareholders of US$4.7 million in the same period one year ago and adjusted EBITDA attributable to AirMedia's shareholders of a loss of US$2.4 million in the previous quarter. Next, let's talk about our balance sheet. Cash, restricted cash in the short-term investments totaled US$99.6 million as of December 31, 2014, compared to US$113 million as of December 31, 2013. Total capital expenditure for the fourth quarter of 2014 was US$4.1 million. AirMedia currently expects its net revenue for the first quarter of 2015 to range from US$53 million to US$56 million representing a year-over-year decrease of 15.9% to 11.1% from the same period of 2014 and a quarter-over-quarter decrease of 19.4% to 14.9% from the previous quarter. The year-over-year decrease was primarily due to AirMedia's divestiture of its TV-attached digital frames and digital TV screens in airports, as well as a soft advertising market. AirMedia currently expects its concession fees to be approximately US$45 million in the first quarter of 2015, representing a quarter-over-quarter decrease of 3.1% from the previous quarter. Moderator, would you please open the call for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Jing Wei from BOCI. Please ask your question. 
Jing Wei: Hi, good morning, Herman, thank you for taking my question. I have two questions. Firstly regarding your Wi-Fi business. Could you please share with us the monetization model? And what expectations do you have on this Wi-Fi business in terms of like revenue and market share and number of airplane in 2015 or in longer term? And how much are you going to invest in your Wi-Fi business this year? Thank you. And I have a second question.
Herman Man Guo : Okay, thank you for your question. That's a very good question. 2015 is a very crucial year for AirMedia, the year of transformation for AirMedia. We already obtained a leading position in the Wi-Fi services on high-speed trains in China. We've already signed with Guangzhou and Xinjiang Railway Bureau. So we have already have a very high margin share on the -- in terms of the trains we can operate our Wi-Fi services on high speed trains. And we are also like to sign with more ordinary trains to provide Wi-Fi services for ordinary trains, so we are now in talk with railway bureaus for the Wi-Fi service for ordinary trains. We thought that we will be main operator for the Wi-Fi services on trains in China. And for the Wi-Fi services on airplanes, we are also continued to discuss with the airlines for the Wi-Fi services. We will update you when we sign a contract. Talking about the business model for the Wi-Fi services on airplanes, the first revenue start will be the service fee that passengers need to pay certain fee to use the Wi-Fi services. And other than that we try to get the sponsor fees from the e-commerce companies when they provide the services on the airplanes to which we provide Wi-Fi. And other than that we try to tap advertising revenues and also an e-commerce on the internet part, internet part of the Wi-Fi services. For the Wi-Fi services on trains, there will also be internet, an internet part. For the internet part, passengers do not need to pay a fee to use the Wi-Fi services. So we will get revenues from the internet part which our internet part we will provide movies, games and more entertainment to the passengers. So there will be advertising, e-commerce venues for us from the internet part. And for the internet part, although passengers, even the passengers do not need to pay but we can still get revenues from the e-commerce companies when they provide services to us and we can also help e-commerce companies, or mobile internet companies to download, to promote their apps. So we will get revenues from the down--based on the numbers of applications we help them to download. Actually we have already signed with certain mobile companies for the application promotion. Talking about the investment on the Wi-Fi services, for the airplanes in flight Wi-Fi, the investment will be relatively large. And for the Wi-Fi services on trains, it is not that large. But we try to get the financing from the key companies, other internet giant. There are already some private equity companies approaching us. Does that answer your question? 
Jing Wei: Yes. Thank you. My second question is regarding your current advertising revenue. Could you please share with us the advertising revenue breakdown by sector? And the earlier change in ing each sector as well and how do you see the demand in advertising market this year? Thank you.
Richard Wu : Okay. I will tell you the year-over-year change -- our breakdown then Herman will answer the question on the overall trend. The top three advertising category for us actually change the first category is still auto which decreased year-over-year by 6%, the second category is finance which decreased by 25% year-over-year and we see the third category actually change home appliances become our third largest category which increased by 89% year-over-year. And fourth category the consumer electronic decreased by 25%. And fifth is high end food and beverage decreased by 15%. 
Herman Man Guo : As you know the GDP growths have been slowed down and we see the pressure on the traditional advertising industry. But for us after the divestiture of the unprofitable product lines, the remaining products which are mega-size LED stand alone digital frames and traditional media, we expect to have year-over-year growth in 2015.
Operator: [Operator Instructions] Your next question comes from the line Wei Fan from CLSA. Please ask your question. 
Wei Fan: Hi, thank you. Thank you for taking my questions. Just first question regarding your divestiture right. After the divestiture, is it correct to assume that you will not have any digital TV screen throughout news going forward since starting in 2Q? And also I think your guidance for 1Q already reflect that decline right, and also are you still booking any cogs concession fees relating to those divested business segment? Thank you.
Richard Wu : Yes. Let me answer your question. So legally speaking we have divested TV screen and TV-attached digital frames is sold, the team and related resources have been transferred to the new entity operating those businesses in which AirMedia has the minority share. However, some of those contracts that have not expired have a binding clause that prohibits us from transferring those concession rights to the new entity. So we -- and also through contractual regiment entrust them to be our operator of those two businesses, every month going forward there will be contacted, those related -- those two businesses coming expired and we will transfer those contract through direct contract between the airports and with those new entity operators. So we do anticipate that, yes, most of them will be gone within the next 12 to 24 months. 
Wei Fan: Okay. So you are saying within the next one to two years at most right, so assuming -- 
Richard Wu : At most. 
Wei Fan: Yes. So we will see order scene clean that's right. And also does your current contract with those vendors or the services providers, does they require or kind of restrict you from outsourcing that or doing the entrusting to a third party vendor? I mean basically are you able to even before the contracts expire right, are you able to just negotiate with the other part of the contract and then do the transfer before the expiration?
Richard Wu : Yes. The majority, I would say majority of the contracts doesn't bind us or doesn't stop us from negotiating -- for a party to be our sub contractor or operator, yes, that's what most of the existing transfer has been a rent so basically yes. 
Wei Fan: Okay. So you are trying to right to terminate those things and make them fully transferred as early as possible, right?
Richard Wu : Yes.
Wei Fan: Okay. And also just theoretically I think I see your comments that you are working with your current existing advertiser customers right on those divested business segment and asking them to accordingly allocate, reallocate their budgets accordingly to your remaining business segments, right. And then this is the one thing you are doing right now and on the other hand you are working with a kind of partner or joint venture right to divest that business, is there any kind of conflict of interests just from your partners' perspective, why are they willing to take your business, that your divested business and at the same time knowing that you are persuading your customers to reallocate their budget to your remaining business, I was just curious. 
Richard Wu : Right. Let me take initial answer on this one and if Herman wants to -- he may has further comment. So basically those two divested product lines have been acting as a kind of stimulus as give away in advertising time previous contract, and most of our LED and the stand-alone digital frame contract we previously tend to give some free time of these two product lines. So according to US GAAP those give away time has to be allocated as part of this revenue calculation. So the two generate revenues as a result. However, the advertisers' real interest is in bigger one, bigger media format which are more eye catching for attracting your attention. Going forward, given that these two our product lines are divested, we have mobilized our sales force to focus on the existing larger screen format media resource sale and try to minimize okay the give away time of those divestiture product line, however, in case of the divested what happened in the previous largest group business is we some advertise require purchase of airport media which we don't have, we purchased from third party and bundle them as part of this fulfillment commitment in the field contract, they work through the same regiment of beating with purchase some of these divested or outsourced advertising time from those two advertise and we do internal transfer pricing if needed but gradually were to ask that our sales force to focus on our remaining product lines. 
Wei Fan: Okay, okay, got it. So during the transition time the sales people will have little bit kind of confusion to me right one time you work on your many business but at the same time they still need to kind of favor your business for those JV partners right during the time. 
Richard Wu : Right. Yes, in a sense it did have -- did have it may be confusing for them but we asked that they minimize the giving away time of those two media format which are no longer our composed balance.
Wei Fan: Got it, got it, okay, thank you. Yes and last question regarding the lift on your property right. You are talking about the remaining business will have positive year-over-year growth in terms of revenue. I was just wondering if you can help us understand so why you are not booking any business -- revenues from those two divested business segment right. Are you still booking the concession in the cost of line and also related these agencies those kinds of things and also depreciation. Thank you.
Richard Wu : Yes. That's a good question. Depreciation is to go forward because for the TV product line, the net book value is very minimal so it is still with us and we will continue -- it will continue to incur some depreciation but amount is very small. For the TV attached digital frames, we have sold the assets to new entity and so it is no longer our book and no longer generates depreciation. In terms of the revenue of these remaining business lines, like Herman pointed out we maintain growth order book for those product line in revenue. In the meanwhile in terms of the revenue to be booked from those two divested product lines, given what I said in a transitional period where we have to do these all the sourcing type of sub con regiment so according to the US GAAP we will have to incur additional revenue from those other source the regiment, is from those two product lines but it is no longer a typical TV or digital frames revenue as previous but yes we do continue to incur service revenue or sub contract revenue from those two product lines but it was a decreasing trend going forward because their contracts expired, they will be gone from us and going directly with airport and those two entities, and accordingly as the other revenue, the service revenue incurred, so we do were required to incur positive services as well because some of those contracts are still with us even we've already -- also serve the operations of those line, so we kind of guarantee concession fee plus higher transfer price as required by tax rule and also the opening expense servicing will be count to those product line, yes, but if those two businesses really pushed growth very well, we are kind of lose up trend by kind of protected downward side.
Wei Fan: Okay, got it, that's all my questions, thank you so much.
Richard Wu : Go ahead Raymond. Raymond you want to add on --
Raymond Huang: To the concession fees as Richard mentioned because we are in the transition period, so we still need to pull concession fees for additional TV and TV-attached digital frames. Some of that have been transferred to the new entities but we still need to book on the majority of the concession fees. And for the agency fees because we thought the more revenue will be made by the two new entities, so for the revenue sold by them we don't need to incur the agencies. But actually although that impacts on revenue side but for the bottom line because we are now a majority of shareholder-- minority of shareholders so we -- the loss definitely decrease a lot compared with previously. So it is very helpful for our bottom line. Hello?
Operator: [Operator Instructions] There are no further questions at this time. I'd like to hand the call back to you presenters for closing remarks. Please proceed. 
Raymond Huang: Thank you for attending our call. We hope to talk you with next time. Thank you. 